Operator: Hello, ladies and gentlemen, welcome to McEwen Mining’s Fourth Quarter and Year End 2024 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; William Shaver, Chief Operating Officer; Perry Ing, Chief Financial Officer; Jeff Chan, Vice President, Finance; Stefan Spears, Vice President, Corporate Development; Michael Meding, Vice President and General Manager at McEwen Copper; Carmen Diges, General Counsel and Security. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Mr. Rob McEwen, Chief Owner. Please go ahead, sir.
Rob McEwen: Thank you, operator. Good morning, ladies and gentlemen. Welcome to the call. 2024 was a good year for McEwen Mining. While our consolidated production of 135,884 gold equivalent ounces was 12% lower than what we produced in 2023. The selling price of our production was 24% higher. As a result, our adjusted EBITDA was 3.8 times higher this year at 29.2 million or $0.57 a share, versus 7.7 million or $0.16 a share in 2023. We did post a net loss of 43.7 million and that was due to the equity accounting we do -- the expenditures at Los Azules of 47 million with a difference of 3.3 million. We spent another 16.5 million on exploration, bringing it to 19.8, and there was 10 million in depreciation. So, our mines are making money at this point, and it is the large investment we've been making in Los Azules to bring that project forward that is creating this net loss. And speaking of that, when we took -- started financing Los Azules separately in McEwen Copper, we did a financing at $10 a share, which effectively put a value on that property of $175 million. This was a property that was largely obscured in our portfolio by the performance of our gold assets. Today, based on the last financing that we've done in McEwen Mining at $30 a share, puts a value -- an implied value Los Azules of $984 million. We have a 46% interest in that now, and that equates to $457 million value and on a per share basis $8.47 a share behind every McEwen Mining share. So that's the big number, and we're pushing that project forward to a feasibility study and after which once we have hopefully approved in the RIGI, which is a large investment incentive scheme enacted by the Argentinian Government. We get that approval and complete feasibility at the end of June of this year, we'll be ready to do an IPO, and that will be dependent on the market, sentiment towards copper, but right now there's a positive view on the price of copper. Coming back later in this call, I will ask Michael Meding, our Vice President & General Manager of McEwen Copper to speak in greater detail about Los Azules. Looking at McEwen Mining gold assets, we've spent quite a bit of money on exploration, as I said, 16.5 million in the past year at our Fox Complex up in Timmins, Ontario, that exploration has increased our indicated and inferred resources to a total of over 2 million ounces, and that's allowing us to now plan for doubling of production from what we produced this year to 60,000 ounces in 2027, and we can see there's a possibility to increase that production further, 4 to 5-fold increase over what we've done this year in 2024 to 130,000 to 150,000 ounces, bringing on the Grey Fox deposit where the exploration had increased the resources. That subject to permitting would increase our consolidated production to 225,000 to 250,000 ounces per annum. So, exploration is working at Fox, it's also been extending our reserve life at Gold Bar and that's being augmented by the purchase of Timberline Resources, which is a property near to Gold Bar, where we're getting some initial good exploration results. Our investment in [29%] [ph] interest in the San Jose Mine, a mine operated by Hochschild Mining, is also expecting to pay a dividend shortly, and that'll be a welcome change from a number of years without a dividend, but the higher metal prices gold and silver are helping that. During the year, we increased our debt from 40 million to 130 million by way of a capped call convertible debenture. We chose that route to raise capital, because we could get a 100% premium over our share price at the time we announced this debt deal. So, we were trading at around $8.60 a share, and we were able to get a conversion price by use of this structure of a 100% premium over market. So, our cash now is approximately $62 million. A large part of that money is going into increasing the production at our Fox Complex and at Gold Bar. And at this point, I'd like to ask Michael Meding to speak about Los Azules.
Michael Meding: Thank you so much, Rob. Los Azules had a great year. In terms of environmental safety and regulatory compliance, we have safety excellence, 1.5 million hours without the lost time incident. We have received our environmental impact statement, which is the environmental permit for the construction and operation of the future Los Azules Mine at 3rd of December last year [indiscernible] and we completed all the hydrogeological testing to support sustainable water use in the future. In terms of operational achievements, we have drilled over 51,000 meters in 2024. We have now a project progress of about 90% by the end of 2024, and as Rob said before, we plan to publish -- we plan to complete the feasibility study by June this year. We have now the majority of our engineering complete for the feasibility study. We have a new structure geological model. We had great work done by the community and sustainability team. We have more than 3500 participants in 61 meetings covering 50% of [indiscernible] economically active population in 2024. We have done lots of training initiatives to support [indiscernible] that's the department where our project is located. To prepare themselves for the future work at our project with more than 890 participants, including 521 women, and we have also joined the UN Global Compact. I think that is the summary of what was going on from Los Azules. We're looking forward to the completion of the feasibility. Back to you Rob.
Rob McEwen: Thank you, Michael. More recently, we received a claim -- a statement of claim from an indigenous group that have interest in the property we have in Timmins. We believe it is without merit and we're working to engage constructively with the leadership of that tribe. At this point, I'd like to open the session to questions.
Operator: [Operator Instructions] The first question comes from a line of Jake Sekelsky from Alliance Global Partners. Your line is open.
Jake Sekelsky: Hey, Rob and team, thanks for taking my questions. So, you touched on opportunities for mine life extension at Gold Bar. I'm just curious if you're able to provide any additional color on sort of the critical path forward there, on the permitting side in bringing the Timberline properties into the [indiscernible].
Rob McEwen: Sure, I'll ask Bill Shaver, our Chief Operating officer, to comment.
William Shaver: Yeah, thanks very much, Jake. Yeah, so we're doing exploration work at the present time on the Timberline property. As Rob mentioned earlier, we did about $1.2 million worth of work last year and we're in the midst of doing approximately $4 million worth of exploration work on Timberline properties, which include the ones right adjacent to Eureka and also at Seven Troughs Project, which is another project that we got in that transaction. So, I guess, generally the permitting timeframe for Timberline is there's 2 parts to it. That's because there's part of the claims that are there are patented claims, and they have a shorter period for permitting and then there's a part of the property that's on BLM land, and the permitting time for that property is something in the order of, could be done in 3 years, but it's generally seen as 3 to 5 years. So, that permitting work will start immediately this year, because we have some of the -- from the drilling that we did last year, we have some understanding in the patented ground what we might be able to do in the short term, so those permits will make application for those in the next quarter. And hopefully have those permits sometime early next year or early to mid next year. And so that kind of fits in -- what's happening at Gold Bar at the Pick and at Gold Bar South, -- but at the present time we have assets to mine at Gold Bar itself that extend into 2030. So, I guess what we see happening with Timberline is, we'll go through that permitting process and then [indiscernible] as they come on stream.
Jake Sekelsky: Okay, thanks, so that's helpful, and then I noticed you broke out the royalty portfolio in the release. I mean, how should we think about these going forward? Is it an area you might look to expand upon or more of something that you might be looking to monetize in some way, shape or form, when the time's right.
Rob McEwen: Yes to both those questions.
Jake Sekelsky: Fair enough. And then just lastly here, we're sitting with gold over 3000 an ounce pushing all-time highs. I'm just curious if these price levels caused, you to go back and re-examine some of the near-term mine planning?
William Shaver: I would say absolutely. We're, we're getting focused now, especially at Gold Bar to try and increase production, because to take advantage of these high prices and also to we're looking at whether we can do the same in Timmins, because at these prices, if we could increase even by 10% of production in Timmins and 10% in Nevada, that would basically create about $10 million of cash. So I think, -- we're working diligently now to get ramped up to try and take advantage of the price that we're seeing at the present time, which in all indications seem to tell us that that price is going to go higher.
Jake Sekelsky: Makes sense. Okay, thanks again. It's all for me.
Rob McEwen: Thank you, Jake.
Operator: Your next question comes from the line of Mike Kozak from Cantor Fitzgerald. Your line is open.
Mike Kozak: Yeah, good afternoon, Rob and team. Hi guys. So just 1 question from me and then maybe a follow up. What’s your best estimate as to when you'll know whether or not Los Azules is approved or not approved, but then it potentially admitted into RIGI.
Rob McEwen: Two, 3, 4 months from now. There's only been 2 groups approved so far, and there was about 11 in line to be reviewed.
Mike Kozak: Okay, that's helpful. That was actually my follow up. So, I saw this morning that YPF Vaca Muerta South oil pipeline was approved under RIGI, which is the second one. So, my follow-up was, do you have any sense as to where Los Azules is in the queue of projects that have applied for and are awaiting that RIGI approval?
Rob McEwen: Mike, perhaps you could answer that.
Michael Meding: I mean, we are the second metal mining project that filed for the RIGI. Where we sit is a little bit difficult to say. I mean, we have applied 11th of February, and we have given an in-person presentation a week after that filing. The [indiscernible] is about 45 days, but it's -- every time there is an information request towards the company, the clock stops on the 45 days. That means that we have now received, for example, information requests from the regulator on the 5th of March that we're going to respond tomorrow, and we are hopeful that over the next couple of months, as Rob said, we're going to get approved. But it's a little bit difficult to say, it's new regulation and how long each step exactly takes and where one sits in the queue is difficult to say.
Mike Kozak: Got it, but that color is very helpful. Thank you and good luck.
Rob McEwen: Thank you.
Michael Meding: Thanks, Mike.
Operator: Your next question comes from the line of Chris White from Gray Aspen. Your line is open.
Chris White: Thank you operator. Hi, Rob and team. Thanks for taking my questions. Just, 4 quick ones here. The first one, Rob has to do with your opening comments, for Los Azules investments. If the company wasn't doing those investments, would MUX's quarterly earnings have been positive? I'll give you the other 3 here quick and then you can just go down.
Rob McEwen: Yes.
Chris White: Do, do you know what that number is [indiscernible].
Rob McEwen: It was 47 million -- the charge we took from Los Azules. So, reported loss of 43, so it would be slightly positive there and if you backed out the exploration and depreciation.
Chris White: So just [indiscernible] around 3 million to 4 million?
Rob McEwen: Yes. That's correct.
Chris White: And then seeing how the market is valuing MUX’s disproportionately on those quarterly earnings that they're coming as negatives and looking to be positive. Have you guys done an analysis of what the spot price gold needs to be with your investments to print a positive quarterly earning?
Perry Ing: Yeah, maybe I'll back up a little bit and note that with the work that Michael and his team are doing, -- we expect to be able to publish our feasibility study in the next quarter and under U.S. accounting rules that will allow us to in fact capitalize our expenditures on Los Azules like companies that report under international accounting standards. So, I would say beginning at the end of the second quarter or start of the third quarter we will in fact no longer need to report those losses. But otherwise, in terms of addressing your other question, I mean, it's a little bit complex. It depends, -- where in the cycle we are in terms of cost, but obviously at $3000 spot gold, we expect to be generating significant positive income from our gold operations.
Chris White: That's helpful. Thank you. What is -- what are you guys -- what's management's current expected ASIC for 2025 GEO? I couldn't find that in the release. Is that there?
William Shaver: Yeah so, let me answer that for the team. So, at both of our Fox and Gold Bar operations, we're projecting about $1700 to $1900 per GEO sold. We do expect to decrease those naturally over time. I think, at Gold Bar we do have a period of high strip in the first half of this year, so we don't expect the same in 2026, we expect that to naturally lower and then at Fox, once we ramp up our stock mine and enter into an area of significantly lower cost and higher grade, we would also expect to see that decline.
Chris White: And that answer takes into consideration what Bill just answered about increasing the throughput with the price of gold being high that you guys wouldn't do an ASIC as like 2000 or something higher. Is that correct?
William Shaver: No. That's correct. That does take into account some of the considerations Bill mentioned as well.
Chris White: That's great. Last thing and I'll hush up. Thank you for the time. Is there any way when you guys do these releases we can get the heads up on the call more than the day before or are you guys doing that on purpose? How does that process work?
Rob McEwen: No, we don't do that on purpose. There's some last minute changes that came in and unfortunately delayed it. Normally, I’d like to give you a day or 2. I agree with you it's very short. On table 1 in the press release, you'll find the cash costs and basic cost outlined for each operation.
Chris White: Really appreciate it, guys. Look forward to next quarter.
Rob McEwen: Thank you.
Operator: Your next question comes from the line of John Tumazos from John Tomazos Very Independent Research. Your line is open.
John Tumazos: Thank you for taking my question. Hey, Rob. I'm concerned about Rio Tinto's participation in McEwen Copper. Last week, there was an international arbitration won by Entree Resources against the Mongolian Government in Rio Tinto. Where in 2012, the 2004 and 2008 agreements were not honored. And Rio Tinto made this little company pay lawyers for international arbitration for 12 years, trying to squeeze them to death and squeeze them out of the property. And the little company won. God bless them. You may recall that [indiscernible] didn't end up with much of Mongolia, because Rio Tinto left him exposed to the capital overrun. So I'm a little worried that having Rio Tinto money is a little bit like having [indiscernible] or cancer. What are your protections to keep them from squeezing you out? [indiscernible] my question. I'm just very unhappy what they did to the other company.
Stefan Spears: Hi John, it's Stefan Spears. Maybe I can help you get an answer to that question. So currently the investment by Rio is through an intermediary, which is Nuton, and I know you're aware of that organization. It's a technology arm of Rio Tinto, and they hold equity in McEwen Copper, which is a Canadian unlisted company, a private company. And then McEwen Copper through subsidiaries owns 100% of Los Azules. So, currently as it stands, they have just over 17% equity in McEwen Copper, and we do have a shareholders' rights agreement with them that provides for normal things, preemptive rights, tag-along rights, and so forth. As far as your direct question about squeezing us out, it is not possible for Rio to squeeze us out in any way, shape, or form at this stage.
John Tumazos: Okay. Would you be reluctant to take any more money from them?
Stefan Spears: Not really. I mean, if it's in the same form, so say, if they're, for example, anti-diluting, they want to maintain their interests at 17 or even increase their interests, doesn't change their position from a strategic standpoint, I think where you obviously want to be sure that you've got the right partner is when you consider doing an asset level transaction where you're selling an interest in the asset to a party that you know is going to be a long-term supporter and a proponent for the project. I think that's a very -- one has to take that decision very carefully, but we're not at that decision point yet.
John Tumazos: Thank you. I'm just a little guy rooting for the little guys.
Rob McEwen: Appreciate that John. It's a good heads up.
Operator: Your next question comes from the line of [Bill Powers] [ph], private investor. Your line is open.
Unidentified Analyst: Hi, Rob, thanks for taking my call. A couple of questions, I guess, we started in Canada. Could you just give a little more color on the progress at stock? I know it seems to have been delayed quite a bit and I thought we'd be producing from that by mid this year rather than late this year, if you could maybe expand on that a little bit.
William Shaver: Yeah, so I'll take that. Thanks very much, [Bill] [ph]. Yeah, I mean, we were slowed down a little bit by the permitting, but at this point, we've got all of the portal drilled and blasted, and we should have start driving the ramp, I guess in the next 10 days or so. So, that should put us in down to the fourth level sometime late in the third quarter. And at the same time, we'll be driving out towards the eastern part of stock to get some mining there and there's also some mining that we're contemplating doing up there the portal, but the main thing is to get down to the fourth level with the main ramp. At this point, we're also dewatered all the way down to below the loading pocket, which is at the fourth level. So, the next step underground is where we're accessing down the shaft is to get all of the surveying done of all the headings, try and understand where there might be or and if possible get underground to do some drilling with small underground drills, so that we can understand where the early mining might be in the old part of the stock mine and so that part of the process is going to start next month. -- we don't have the access that we have to the fourth level is limited in terms of we're accessing that by an [indiscernible] and we're in the midst of trying to figure out if we should put a temporary hoist and head frame there to make that work a little bit easier to do, but yeah, so I think we're in pretty good shape there.
Unidentified Analyst: Okay, thank you. I mean, I get along the same lines. I know you've done a lot of drilling at Grey Fox. Could you give us some estimates on the timeline, on kind of the rehab of the portal or -- or is that going to be a this-year project or a next-year project, since that seems to have a material impact on future production?
William Shaver: Yeah, so we're in the midst of putting a team together that's going to be responsible for Grey Fox and that's going to happen in the first week of April and from there we'll go into figuring out what we need to do in terms of permitting and so on to get us back into what's called the Gibson Ramp, which is -- which will hopefully allow us in the short term to do some underground drilling to start to put together resources and reserves and mining plans and so on. And of course then there's the permitting phase of that whole undertaking and we're hoping that we can move that along quickly, but I would say the normal timelines on doing that kind of stuff is 2 to 3 years, so we're hoping it'll be better and we're going to initiate all of that stuff here in the next 6 months.
Unidentified Analyst: Okay, one last question for you, Bill, while I have you, is any movement on Mexico since that seems to be something that could be impactful should you be able to get the permit moved forward.
William Shaver: Yeah, so we're I guess waiting for getting a permit there. I guess with all of the goings on with tariffs and things with cartels and so on, we're moving ahead cautiously in Mexico, I guess, once we see a permit, then we'll make a decision whether we should move ahead with that or not. At this point, you're right, it's a little bit of an untapped resource there, which at these prices would look pretty good. And so I think it's a bit of wait and see in terms of moving ahead there, but basically we're ready to move ahead. We have equipment in Mexico, we have gas-fired power plant. We have all of the -- more or less all of the assets to make that get started fairly quickly. So, I guess we're just hoping that kind of the whole climate in Mexico might change a little bit here in the near future.
Unidentified Analyst: Well, they seemed to have handed out permits elsewhere for existing operations, and hopefully, you guys would, I mean, since I'm guessing this is a permit that just needs to be amended, it would not be something new, I would think that you guys would be [indiscernible] front of the queue for that.
William Shaver: Well, that's correct, and I guess it's 4 weeks ago where we had meetings with the Economic Ministry to see if we could move that process along and like we're hopeful, but permitting everywhere in the world today is -- the timelines are at best unpredictable, including here in Canada.
Unidentified Analyst: Okay. Thanks for all your time. I just have one last question. I think this may be more directed at Rob or Perry; but, in your Q4 release, you mentioned -- it was mentioned that the joint venture with Hochschild has $200 million in cash and to me it seems as though that's an extremely large number, especially given that there was an expansion last year that was completed, and now at today's run rate, it would be generating substantial cash. I guess as far as it seems as though the payout or the dividend should be substantial this year. Could you guys give some color on what you're expecting from them and why you guys -- why there's $200 million in cash there?
Rob McEwen: Where did you see the 200 million?
Unidentified Analyst: Maybe I misread that. Maybe I missed it. What is the exact number?
Rob McEwen: We'd be banging down their doors if they had that much money.
William Shaver: That's right Rob. They typically keep -- well right now their cash balances are kind of in the in the $25 million to $40 million range. As Rob mentioned in his opening remarks, we've had positive conversations with Hochschild. They're declaring a dividend later this month of just under $5 million, so we should be receiving our share of just over $2 million by the end of the first quarter. You'll also notice in the reserve reports they have done a good job extending mine life. It's still not long. I mean, it's still kind of 18 months on reserves and 2 to 3 years on resources. So, it's going to be a combination of dividends and putting money into exploration and looking at how we can make that operation more efficient, but you're right, at these prices it should generate a fair bit of free cash and we'll keep investors updated on dividends on a regular basis.
Unidentified Analyst: Okay, thank you so much.
Operator: [Operator Instructions] Your next question comes from the line of [indiscernible], a private investor. Your line is open.
Unidentified Analyst: Hello McEwen, good morning. How are you?
Rob McEwen: Excellent, thank you, yourself?
Unidentified Analyst: Very well, thanks. I've got a whole bunch of questions [indiscernible] all at once, but all these questions are with the goal of determining what your investment in McEwen Mining is going to be [indiscernible] more than it currently is? I'll start with my first question on Los Azules. Initially, I think I was wrong in assuming that when we IPO, when you IPO, hopefully Q3, the shares will be returned, will be given to the shareholders. That's not the case, is it?
Rob McEwen: That's not the case, no.
Unidentified Analyst: Okay. Given that Los Azules needs about $2.5 billion for production, what's the -- what's the timeline to go to build the mine after your IPO until you’re producing?
Rob McEwen: Right now, we have a plan to assuming all the finances is in place to do the engineering and then put a shovel in the ground in late 2026 with production starting in late 2029 and running for 27 years.
Unidentified Analyst: In that case, I'm looking, I'm trying to figure out how to value McEwen Mining shares. We currently have 46%, give or take, Los Azules. If I was to do a worst case scenario post IPO and assume that you had to raise all the equity at $30 a share, and given costs always increase, we could be issuing 100 million shares, which would bring McEwen Mining interest down on a worst case scenario to 10%. What's your worst case scenario?
Rob McEwen: Well, one, we started financing McEwen Copper at -- $10 a share. Our last financing is at 30. If you look at what it might go out at on an IPO, I'm thinking it's going to be quite a bit higher than that. If you just look at relatively recent transaction where BHP, the largest mining company in the world came in and did a deal with Lundin Mining on 2 copper projects in the same province as Los Azules, and that was valued at $4.5 billion. And when you compare Los Azules to the 2 projects, Jose Maria and Filo del Sol, we have some definite advantages over that, and I think could be more value. They're -- we're at a lower altitude than either of them. So, operations and the health of the workers is better, because there's more oxygen. We're a larger resource than either of them, and both of them combined, and a higher copper value than either of them; although, they have some gold, we would be a lower capital intensity as we're going with a [indiscernible] process as opposed to a conventional mill producing a concentrate will be producing a cathode, which can be used by industry immediately rather than having to go to a smelter in the case of a concentrate. We're closer to infrastructure, major roads, and hydro corridors. So, we'll have our feasibility out there. They're a little more advanced than we are -- and feasibility studies. We'll have our feasibility out by the end of the second quarter. So they have a value of 4.5 billion and our value is based on the last financing, just under a billion dollars. I would expect in an IPO, assuming the copper market stays where it is or goes higher, that we could shrink that difference between the [4.5] [ph] and the 1 billion that I spoke of. So, I would expect we'd be selling at higher than $30 a share on the current share structure. [indiscernible] Yeah, go ahead, Mike.
Michael Meding: Sorry to jump in, but I mean, we're not looking to finance McEwen Copper of the Los Azules projects entirely through equity. What we're looking forward to is, is a certain relation we could think about, for example, 40% to 60%, 40% equity, 60% debt that could be a reasonable assumption. And with regards to the debt, what we're looking into is export credit agency supported debts and development finance organization or developing finance institutions supported -- that's our main focus at the moment, while we're also in the [indiscernible] selection process.
Unknown Analyst: Thanks very much, Mike. That's exactly what I was thinking too. I was just doing, well, what if worst case scenario we have to do all equity. How much are we going to be left in McEwen Mining, which then transitions me and thank you very much, Rob. You answered a whole ton of questions right there regarding Los Azules, much appreciated, and you are to be congratulated for bringing that mine to fruition, that's a Tier 1 asset. So my hat off to you, sir. [indiscernible] McEwen Mining, I looked at, I've been there for 12 years along with you, so your share price and my share price are pretty much the same. You put 200 -- or $140 million, which translates to about $17 a share. Adjusted for inflation, I think you need $25 a share just to get your money back. In 2016, we're sitting at $50 a share. And we just hit $8 a share today, which is a really nice [indiscernible] really happy. It's not anyone's fault that the gold mining sector has been out of favor like it has for so many years, and I think it's reasonable to assume that the retail investor and the institutional investor is going to start looking at the sector -- with gold over 3000 and silver looks like it wants to break out and run to 40, but that's left to be seen. Maybe it'll happen this week, maybe it won't. My last question to you, Mr. McEwen. You need $25 just to get share price, just to get your money back, and I don't think you went into this just to get your money back and put in all this work. When do you think you will at least see $25 and I know I'm asking for speculation. When -- when do you think you can get your money back because I'm there with you. And I don't know if I have 5 more years to wait in this uncertain environment given what's happening with currencies, world war potentials, etc, and overvaluations in the stock market. If I want to be a stock, I'd rather [indiscernible] , which has performed fantastically.
Rob McEwen: Right. Well, you're absolutely correct. I didn't go in there to lose money, and all investors are the same way. You make an investment, you're expecting it to go up, not go down unless you're shorting it. In terms of Los Azules, that little piece I gave the comparison with the BHP Lundin deal, if we just went up halfway up the value, so doubling. Right now there's $8.47 per share behind value due to Los Azules behind every share of McEwen Mining. So doubling of that would get it up to $17, little over that. And the gold sector, as you observed, has been unloved for quite a while. It represents and most portfolios are under gold's underrepresented in. You're going to see, I believe, a lot more M&A occurring in the space, driven by the nature whose treasuries are filling up very quickly. And they're going to be looking at the intermediates and the juniors, and that is going -- and that's one of the reasons we've been looking at a number of juniors. While I was running Gold Corp, we maintained a portfolio of juniors, I viewed it as a listening post for what was going on in the industry, and treated some of them as a farm team, where, -- in the case of Gold Corp, most of them went up beyond where I wanted to accept the goodwill by doing M&A. So we just sold them and financed a large portion of our capital development through capital gains. And we've been doing that in a small way, and would have liked to have been doing much more of that, because we're in a moment when I think there's a lot of value to be created in the junior space. If you look at the past gold manias, if you want to call it, where people really get excited about gold, but the seniors, you can see a triple digit increase in the number of the junior explorers and developing companies you can see a 4-digit increase in value. So, it's a spot to be watching and I think more investors will be looking and you're going to see the discoveries that people are making, gaining greater prominence and attention in the market. When will that return to my cost base and exceed it? I think we're in a market right now. If you look at commodities relative to financial assets, we're at a 40-year low. It's a cyclical -- cyclical nature, and I'd say that commodities, precious metals are going to be appreciating in value as we watch the world bifurcate into various areas with tariffs and geopolitical conflicts causing, not only sovereign states, but large manufacturers looking very quickly to secure safe sources of supply, and whereas regular supply areas have been disrupted by these factors. And I’d just say, anyone who's looking at the junior sector and hasn't invested, it's a place they should pay more attention to.
Unknown Analyst: Mr. McEwen, thanks very much for your great response. I really appreciate that you always take time to answer my questions. All the best sir.
Rob McEwen: Thank you [indiscernible].
Operator: And there are no further questions at this time. Mr. Rob McEwen, I turn the call back over to you.
Rob McEwen: Thank you, operator. Thank you, ladies and gentlemen. Looking forward to better days ahead, increased production, more cash flow, and better share price. Thank you.
Operator: This concludes today's call. You may now disconnect.